Jacob Lund: Good morning, and welcome to Investor's First Quarter Results Webcast and Call. I'm joined here today by our CFO, Helena and our CEO, Johan, who will be giving their presentation in a minute. And, today, we're also fortunate to be joined by Bengt Thorsson, the CEO of Permobil, who will be sharing his insights a bit later. And after Bengt's presentation, we will then be opening up for questions, both here, are operator and online. And with that, over to you, Johan.
Johan Forssell: Thank you, Jacob. And also from me, a warm welcome to this presentation. We had a strong start to the year with a net asset value reaching SEK 915 billion. That was up 12% compared to last year. And I'm happy to see that all business areas contributed strongly to the performance in the quarter. The total shareholder return was up 15% compared to 8% for the Swedish stock market. And if you go through the business areas, listed companies outperformed the Swedish stock market, good sales and profit growth in Patricia Industries, and we had also a good increase in EQT that was driven by the development of EQT AB. And we have a very strong financial position. And here, you can see the figures for the quarter. Moving then into the business areas and starting with the listed companies, I think it's very positive to see the development within AstraZeneca that have presented a lot of positive clinical data, not the least within the oncology area. They have also announced a number of strategic acquisitions, for example, Fusion Pharmaceuticals, which is within targeted cancer treatments and also Amolyt Pharma, which is a clinical late-stage company within rare diseases. Epiroc, after the acquisition of STANLEY Infrastructure have decided to split the Tools & Attachments division in 2 divisions. So, you have one rock drilling tools focused on that part and other attachment, which is both for infrastructure and mining. And this is in line with how the company operates to always make sure we have a high focus in the different divisions. Morten Wierod is taking over after Bjorn Rosengren. I think that's an excellent choice. Morten has about 25 years’ experience from ABB. He knows the customer, he knows the technologies, and he has been running 2 of the 4 business areas. And now lately, he has been running the biggest business area Electrification, which is almost half of ABB in terms of revenues. I also want to take the opportunity to say congratulations to Bjorn, who I think has done an excellent job in decentralizing the company and also making sure that the company has a much stronger offering to the customers. And his achievement can clearly be seen in the financial development of the company. Moving then to the figures. Here, you can see it was up 10% in the quarter for the listed companies, and it was actually a broad-based contribution in the quarter. One company stands out, and that is Saab that was up more than 50% in the quarter. With that, let me then move over to Patricia Industries. We had, as I said, a good organic sales growth and also a very good profit growth compared to a strong quarter last year. We saw especially strong development this quarter in Laborie that was up 21%, and that was highly supported by Optilume for urethral strictures. But I should say that also the other business areas had a strong development in the quarter, and I will come back to Laborie a little bit later. Scott Nelson has been appointed new CEO of BraunAbility. He has done an outstanding job being helping the manufacturing in North America previously. And, as you have seen, Patricia had a very strong total return in the quarter. And we highlighted the multiple discussion last quarter. So, let me recap that part. In the fourth quarter, and here we exemplified by the Swedish stock market and as you know, we have peer groups for our companies, but this is just to illustrate the overall movement. And when we value our company, we take the average market cap of our peers for the quarter, and we put that in relation to the last 12 months' earnings. That's the methodology we use. In the fourth quarter, the stock market was up 14%, but the weighted market cap was only up 1%. So we said that this will lead to a higher multiple expansion in the first quarter, and that is also what we see. You can see that the stock market was up 8% this quarter, while the weighted market cap of the stock market was up 11%. And so, now you can say we have more normalized what was a very special quarter last quarter. And the total return, you can see to the right, it was up 18%, of course, driven by multiple expansion, but also earnings grew some positive currency effect related to the euro and the U.S. dollar. Moving to the even more important part, the operational performance. Very good quarter, organic sales growth of 7% and the profit was up 10% in the quarter. And here, you can see the development over time, and we are now running at 12 months rolling basis of almost SEK 64 billion in sales and SEK 15.6 billion in EBITDA. Let me then make a few comments on the individual companies. Bengt, the start of today will come back on Permobil. And I will come back to Molnlycke and Laborie a little bit later. Let me just make a few comments on this slide. First, Atlas Antibodies, the smallest company in our portfolio, continues to have a tough market, was down 30% organically in the quarter, and that is mainly driven by evitria. But I have to say that I'm very pleased to say, we talk about agility and being able to adapt. The company has done an excellent job in adapting the cost base. And you can see the profitability despite the sharp drop is actually staying at a good level even if it's down compared to last year. The other comment I want to make is that the big drop in evitria was actually coming in July last year. And from July and onwards, we have been on a lower level. So, now it has stabilized on this lower level. Hopefully, of course, it will sometimes come back. We are not seeing that yet, but it has stabilized on this level. And this means that we will have one more quarter with a tough comparison. And after that, from the third quarter onwards, it will be a much easier comparisons for Atlas Antibodies. The other comment I want to make is, you can see that Piab is down 3% in the quarter. And as you know, we did have the Easter in March this year. Last year, it was in April. And this has for the full quarter meant that the quarter has been somewhat fewer days compared to last year. This mainly affects companies with consumables. While if you sell capital equipment, it doesn't move the needle. So, in the quarter for Piab, that sells suction cups, which is really consumable. And also, we have seen it in Molnlycke in the quarter. There has been a slight negative impact from the Easter. Moving then over to Molnlycke. A solid, good quarter. Organic growth was 5%. We did see 6% organic growth in wound care. And within wound care, we saw a broad growth across all geographies. The profit margin increased driven by the volume growth, but also lower raw material costs. This was partly offset by increased logistics costs related to the situation in the Red Sea. And you can see that the EBITA margin did not improve as much as the EBITDA margin. And the reason for that is that we took one-off cost related to an impairment of the assets of the factory we are closing in Malaysia. And the reason we are doing this is actually to improve the efficiency and also the CO2 footprint in Malaysia related to the gloves production. And just to give you a figure, they have a couple of figures. They have 4 production plants in Malaysia. They will now move to 3. And by doing that, the CO2 footprint will be reduced by 5% and efficiency will be improved. If I then should say a few words about ORS business, you saw a 4% organic growth in the quarter. It continues to be driven by both volume and price and also positive mix read more high value-added trades. The growth was, however, mitigated by delays to the customers in Middle East due to the situation in the Red Sea. So basically, the company-built backlog in the quarter and hopefully, of course, this will improve going forward. But let's see when and how. When it comes to gloves, it was down 5% in the quarter. And the main reason for that is the supply chain problems related to the Red Sea. When it comes to the important U.S. market, we should say that it remains quite soft. It was flat in the quarter. We see, on a positive note, we do see that the inventory situation is normalized. On the other hand, we are not yet seeing a pickup in the demand in the market. And then finally, on antiseptics, strong growth, and this mainly relates to the fact that the supply chain situation has now normalized, both in Europe and the U.S. If I then say a few words about Optilume, as I said, a very strong growth of 21% excluding urethral strictures. Optilume product it was almost 10% organic growth. But the uptick we have seen in the Optilume urethral strictures had been very strong and clearly exceeded our investment plan. And the profitability was higher than we expected this quarter. And the reason is the strong development of urethral stricture product because this is a high gross margin product. And that has actually reduced or that has actually contributed to the profitability because when it comes to Optilume for BPH, we are investing heavily behind this, sales and marketing, clinical studies. So, this is more or less investments at the moment. But as we have presented before, this is a huge market, and we are very encouraged about the uptick of Optilume. Then saying a few words about EQT. Total return was 12% in this quarter. It was driven by EQT AB that was up 19%, while the funds were flat, 0%. And just to remind you, when it comes to the funds, this is the value development during the fourth quarter since we do it with a one quarter lag. And the cash flow was negative SEK 1 billion as the drawdowns were bigger than the exit in the quarter. Shifting gear a bit. We have 3 strategic priorities: grow net asset value, pay a steadily rising dividend and then deliver on our ESG targets. We have just concluded or quite recently concluded the data for 2023. And I'm glad to see that when it comes to the CO2 footprint in Scope 1 and 2 in all our companies is the combined tons of CO2 in all our 24 companies. It is down now 65% compared to the base year in 2016. And last year, the figure was 57%. So, we are seeing a good trajectory in this area. When it comes to the diversity question, the number of females in the Board have increased from last year 33% to now 37%. We are at the high level, about 40% in the listed companies, but it's great to see that the biggest improvement over the year was actually within Patricia Industries that moved from somewhere 25%, 26% up to now 35%. And finally, business ethics and governance. Now, we have all our companies conducting regular anticorruption training. So, a very strong development also in this area. Then moving over to the priorities for 2024. I would say we have 2 key priorities. Number one is to stay close to our companies, support them, make sure that they really capture all the growth opportunities out there and at the same time, never compromise on efficiency. And as I've said many, many times, you need to be able to focus on both this to be a winner long term. The other area is that we have a super strong financial position. And I also right now, in my CEO letter, that we are right now active in a number of acquisition processes within Patricia companies, and we expect to see a closing of a couple of deals here within the coming 3 to 6 months. So, that is very exciting that we see good opportunities for that. So, in summary, we will continue to work closely with our companies to capture all the opportunities related to the trends out there. And secondly, we will try to really use our financial strength to make good investments. So, wrapping up then, this is my last quarter report. It's my 36 right now. And I have to say that I think we are in a very good shape at the investor. We have a clear strategic direction. We have a portfolio of industry-leading companies that are highly profitable, good cash flow and that have exposure to secular trends. And then we have a super strong balance sheet and as I mentioned, we do see a good pipeline to use that strength to invest during the year. So, with that, I will hand over to Helena.
Helena Saxon: Thank you, Johan. It's been a pleasure working on this 36th quarterly reports. Thank you very much. So, moving over to this graph showing the development of the net asset value over the longer term here, as Johan already mentioned, we landed the quarter at SEK 915 billion, which is an all-time high, as you can see in the graph. And the average annual growth with dividend added back the growth of net asset value over this 5-year period has been 20% compared to SIXRX, 14%. And all business areas contributed, as already mentioned, to the 12% increase, listed with 10%, Patricia with as much as 18% and EQT with 12%. Looking more closely at the listed portfolio. Many of the companies had strong performance in the quarter. Although it's always mixed when you have a portfolio, we can see that ABB, Saab and SEB contributed the most in absolute terms, while Electrolux and Ericsson had a somewhat tougher quarter. We talked about the development of Patricia being very strong. And looking at this graph, you can see the development from SEK 184 billion, including cash to as much as SEK 214 billion, including cash. And what has then driven this valuation increase? Well, multiples have expanded. Earnings has also grown, but we have had some tailwind from currency as well. And if we split this instead by company, we can see that most of the companies, almost all of the companies in the Patricia portfolio has increased in value. And we also see that just as planned, Vectura has repaid most of the shareholder loan that was taken in conjunction with the divestment of the elderly care properties, which is now closed. As the CFO, I'm always working to ensure the financial flexibility and strength to maximize the investment capacity. And looking at the leverage at the end of the quarter, we can see that it's unusually low. It's only 0.8%. And this is due to the fact that many of the companies in the portfolio pay their dividends in the first quarter. And we have not yet paid our dividend to our shareholders, which will happen in May and November, as you know, in 2 installments. Adjusting for these known cash flows, the leverage is actually more around 1.5%, which is in line with what it has been in previous quarters. Still a low but not as low as it looks at the end of the first quarter. This is the debt maturity profile showing when our outstanding bonds will mature. We can see that the next maturity is in 2029, SEK 1.6 billion will mature at that time. And the average tenure of this debt portfolio is 10.6 years. As you know, we have the last few years refinanced our debt at low fixed interest rates, which feels really good right now. And then finally, the average annual total return. For the short term, the first quarter, you saw that we achieved not only our return requirement, but also significantly outperformed SIXRX. And this is actually true for all the periods shown in this graph, 1 year, 5 years, 10 years and 20 years. So, with that, I will hand back to Jacob and then Bengt.
Johan Forssell: I think you can hand the straight to Bengt, actually. Bengt, please.
Bengt Thorsson: So, Helena and Johan, thank you very much for inviting us. It's a great pleasure to be able to present Permobil and our results. So, great to be here. And I would like to start with the history and introduce myself by saying, my name is Bengt Thorsson. I'm the CEO of Permobil Group, and I've been with Permobil since 2018. Permobil was founded by Dr. Per Udden in Sundsvall, some 57 years ago. And Per had a very clear vision and idea of that he would use modern technology in order to compensate the disadvantages people with impaired mobility have. And this became his vision, and that is a vision that we kept in Permobil until today. If we apply that vision into today's technology, it looks slightly different. In past time, it was more about rubber tires, electrical motors and aluminum and steel that we've done. Today, it's more to sensor technology, software development and telematics. It's also making sure that we actually can capture all the modern technologies we have today. And with this transition, we have also focused on one new area over the last years, and that is clinical studies. And that has moved Permobil from being a mobility company into being a medical device company, and I would say even in some respect, a personal device company. It becomes very tight related to the individual who is using our product. Let me give you one example. In 2021, we launched a product that we called Explorer Mini. Explorer Mini, we spent 7 years of development of clinical studies in order to secure that our statement and our findings were right. When a small child in the age of 6 to 12, 18 months start to climb by furniture, start to move around and start to take in impressions from the world around them, it gives stimuli to establishment of synapse and it stimulates also the cognitive and spastic development of the child. This gives lifelong experience for the person. This gives abilities that are far beyond that age and actually through our whole life. So, what we tried to do here was to replicate that movement and that impression that the child get with a child with disability. What we see here is actually something rather astonishing and something we are very proud of. And this, I think, demonstrates the fact that we are combining the mobility with the clinical studies and in 2021, we were recognized as 1 out of the 100 innovations in that year by Time magazine with our Explorer Mini. If we take a step back and look on the industrial trends, we see that our industry is developing very much in line with global health care expenses. That means in practical that the countries follow very much their GDP growth. When they get up to a certain level in GDP per capita, the country has possibilities to spend and invest in people with disabilities. This creates a natural growth in the market because we see that the possibility of geographical expansion is coming step-wise when the countries are reaching these levels. On the right side of the graph, you see a number of other countries who has reached a certain maturity. There, we see that health economics and value-based health care is taking the next step where we also understand to see how can we take this, find higher level of efficiency in our industry where we work with value-based health care and where we work with health ergonomics. This is an area where we see that telematics, digitalization and big data, for instance, will have a very important part in how we will be able to take care of that opportunity. Permobil is acting in a limited market in a number of markets. But despite that, we actually come across basically all the business models that you can find. We have rental business in New Zealand and in Australia. We have sales to dealers. We have sales to end customers. We have tender markets, a rather complex picture in a number of markets. This has been one of the driving factors of decentralizing the organization to make sure that we are relevant in the markets where we play. We are also, of course, exposed to all the market macro facts that are existing for the global trends on the macro level that many other companies are. And here, we have listed a number of changes that we see in the market and areas where we keep an eye on it. I would like to single out a few of them just to make some comments that where they give us a certain. We need to take an action or we need to position ourselves to do the right things. We, of course, as everyone else is noting the global shifting of demographics. This is, of course, a part of where we are growing towards an elderly population, and we have less young people to look after the older people. But we also see health care developing to a level where people survive car accidents, thanks to technology and where we are able to extend life length for people. Given the demographic structure, we need to make sure that people contain their independence. And that's where we are driving. We are less focusing on the aged care, but we are focusing on making sure that people keep their possibility of maintaining and looking after themselves to a larger extent. Another area that Johan touched upon earlier is ESG and sustainability. Patricia Industries has a very ambitious target for CO2 reductions, and we are following them very closely. This is, of course, important. But the area where I think we can make a bigger difference is actually inclusion. We are very close to our users. We do understand what we need to do and how we will be able to incorporate people in society, make sure that they have access to education, to work and to be integrated part of our society. There, Permobil can do a larger difference. We are not doing combustion engines. We've been electrified since 1967. And, of course, for us, this is an area where the leverage is the highest because of our competence in the company. We also see a health care industry consolidation, both vertically and horizontally. This means, of course, that driven by regulatories and give a need for scalability, this is driving automatically a consolidation. The regulatory bodies are increasing their demands, both in North America and in Europe, and we need to address that. That requires larger bodies and more competence in the companies. That drives at the same time, also an evolution of the payment models, which is something that we embrace because we think that we can be instrumental in such a transition. So, altogether, these changes we see is really driving technological advancement, big data, AI, and digital development. By using this tool, we will be able to address the shift we see in the macroeconomics and in the big trends in the world. This is a snapshot of our product range. And, of course, with Permobil, it started historically with our power wheelchairs. Today, we offer power wheelchairs to a very high degree of individual configuration for each individual. We have even launched now a software where we can configure remotely the chair for your unique needs or if you have a progression in your diagnosis that you need to adjust for. We have, over the last years, taken this to a completely new level. What I would say in the beginning, I said it becomes almost a personal device when they become so closely integrated with the user who has the chair. We have expanded also both organically and inorganically on manual wheelchairs. And today, we are a leading company in advanced manual wheelchairs. We normally divide them in active and passive. In active, where today operates the lightest wheelchair in production today. We work very much with titanium and very advanced materials in order to secure that operating for the user is a swift and as simple and as convenient as possible. But we also now go into complex solutions or passive chairs. Passive chair, I would define as a chair where you need an attendant care or someone is supporting you. We acquired PDG in last year, which is kind of moving us into that. We have experience from the power wheelchairs in this, and we are able to leverage that. The product we call power assisting device is an add-on device that you can put on your wheelchair in order to increase your range of utilization or you can compensate for wear in your shoulders and your arms and be able to use your manual chair for a longer time. This is a segment that is growing a lot, and it offers a fantastic flexibility for the manual wheelchair users to operate in a completely different range or context. Sitting and position is probably the piece that is closer to our users and where we spend a lot of focus today. This is the solution, this is the point where we actually have a possibility of avoiding secondary implication for our users. We will be able here to have a sophisticated solutions in order to prevent pressure wounds or other secondary implications that might affect our users. This is an area that we need to take to a new level, but I would say, in many areas, we are actually the leading company in the world today. All this comes, of course, in a service context. More and more, the service context will be informed from rental solutions, preventive maintenance program. And also from a sustainability side, we are able to reconfigure a tailor-made chair for the first holder to a second holder, and that second person gets actually completely that product that they would like to have and they should have. If we look on a snapshot on how this is distributed over the world, power wheelchairs are still our biggest product. But as I said earlier, the add-on investments and organic investment we are doing in services, in sitting and position, manual chairs and power chairs is growing also rapidly. We have a global footprint where we are strong in North America since many years back, but we're also growing up and picking up in EMEA and APAC. I think this is thanks to our decentralized model where we get full accountability from our regional heads and where we make ourselves more and more relevant in that geographies. This gives also a resilience for us if we would see a change in reimbursement systems or if we would have to maneuver as we did in the pandemic, any lockdown or any other things that we were experiencing in the later years. Permobil has had a fantastic journey since Patricia acquired the company in 2013. We have a 13% growth year-over-year, and it has been a journey consisting of both acquisition and organic investments that we have done to grow the business. We see also that the pandemic years were tough years for us. Our users are among the most vulnerable in the society. And, of course, that had a great impact besides the fact that we had disturbances in distribution chain and a lack of components. The team with us have done that fantastically. And the motto we had during that phase was to rebound as a stronger company and as a more focused company. I think this has been very clear. And we saw also with the cost pressure we have had on product cost trying to get efficiency out. We are coming in with an expansion of our margin by being active and cautious. At the same time, we are back on our trajectory when it comes to growth in the business. What drives the business is innovation, product development and new markets. That has been the driver, and that will continue to be the driver. That means also a transition to more value-based health care models will be a new engine for growth for Permobil in the future. These are some of the acquisitions we have done over the time span since Permobil was acquired by Patricia and Investor. What we are looking for when it comes to acquisition is innovations. We are looking for product company, and we are looking for market access. These are the main 3 drivers when we try to see what kind of opportunities we have. And as I said earlier, the increased administrative burden, the regulatories is driving a consolidation in the industry. And Permobil has been active and instrumental in that consolidation, and our aim is to continue to be doing that. If we take a look on 2023, we had a fantastic year behind us. It was really very well managed by the teams. The regions we're pushing, the different product areas are growing everywhere, and we see a large focus on developing the business. It's really received a feedback from a decentralized model where you see that you can get this wide growth in basically in all areas. We work with a regional relevance. At the same time, we use the scalability from supply chain and R&D in order to get leverage in what we are doing from an efficiency point of view. We have one area where we have challenges and that is in Australia, where all the manufacturers, and, I would say, mainly all our users in Australia has a challenge with the situation, with the reimbursement body in Australia that takes down the APAC numbers for the moment. We expect this, of course, to rebound, but the whole system there needs probably some kind of overhaul and solution. And we are active trying to support by lending out and renting our products in order to bridge that. The last effect we had from the pandemic was really in the second quarter '22. Then we had the lockdown in Shanghai. And, of course, that was really the final and very tough situation we had to get materials and to get things to flow. After that quarter, we have seen a steady and robust growth quarter-over-quarter and where the teams have been able, first, to take care of a rebound and a pent-up demand that was but also to accelerate now and to get into a growth mode where we take share and where we expand the business. I think also, they have done a tremendous job in finding a drop-through into EBITDA where we get operational leverage out of this growth and where we see new levels of results coming in. As this is quarter 1 reporting, of course, we need to take a look on how the year started also for Permobil. And the trend we saw from '23 is continuing to '24. First quarter is, for us, normally a quarter when we have the softest demand, a lot of institutions, a lot of organizations are rushing for the end of the year and then the first quarter is weaker. This year, we saw a strong pickup from the beginning of the year, and we have seen an even stronger performance from the teams where now the flows are balanced and where we see that we have and then is firing on all cylinders and where we get a very strong leverage in the first quarter. We have a somewhat softer cash conversion in the first quarter, and that is to refer to what we had before, disruptions in Red Sea and disruptions in the Panama. It has forced us, of course, to increase our raw material stock a bit, but also investment in automation in some of the plants and CapEx in the first quarter has been somewhat reducing the cash conversion. We don't see that as a long-term change, more of a temporary thing. If we look into what comes beyond '24, in 2024, we are very excited that in the second quarter, we will move into this fantastic new location in Sundsvall. And, as I said in the beginning, the cradle and the start of the company started in Sundsvall and now we are moving into a new facility in Sundsvall, where our sister company Vectura, has together with us developed really fantastic site. Here, we have tried and really put a lot of time and efforts in creating a Swedish benchmark for accessibility and availability. I think we have looked around, we have tried to see where can we find a benchmark in Sweden that really offers the possibilities for anyone with impaired mobility to get around in the building and be there on the same terms as everyone else. This Vectura, and we have succeeded to do very well. We have also created a building that is state of the art in energy efficiency. Also, I would say, there are not very many that have that level of energy efficiency as we have been able to create, a fantastic thing to experience in 2024. I would also like to touch a little bit on R&D. As I started to say, our task is to improve quality of life for our users. And this is today very much fueled and driven by how we move over to electronics, how we use our products in a more practical way for our users and how we can make sure that they actually have access to the product all the time. We have, today, telematics on our power wheelchairs. This means that the user can see if they use the product in the right way. And our service technicians can see if there are error codes, the state of health on their battery. And that makes sure that we have uptime and availability for users at all moments. We have also installed voice assistance on the chairs. You can ask the chair, can I go to my sister and back and how much battery do I have remaining when I get back? And you get the prompt answer saying, yes, you can do that or you need to charge at your sister's place. All that together that we launched in the later part of '23 a new electronic platform where you can over the air, configure and reconfigure the chair. This is for a company of our size, I think, is a great step. You can really, depending on the progression of your diagnoses or if your situations change, we can recalibrate and reconfigure the chair for your needs, really a big step. And, going into the second half of '24, we have never launched as many products as we will launch in the second half. We will launch new products in all product segments, and we are really excited for the second half of '24. If I should wrap up then, I would say Per Uddén created a company with a very clear word. I think we have been able to cultivate that culture and be able to assure that we all know why we are working there. There's no one in the company who didn't look to come to a company with a clear why and where we have a purpose. This also helps us to expand into new competencies because people are challenged by that, and they are engaged and very passionate about that. And that new competencies helps us to move the boundaries and expand the possibilities for our users. And that also helps us to continue on the profitable journey we have done. With that, I would like to wrap up, and thank you very much.
Jacob Lund: Thank you very much Bengt for a great presentation and a run through and it's a remarkable story and a remarkable development of your company. And I hope we'll come back to questions. It's now time for that. I also want to thank both Johan and Helena, of course, for your presentations. But Sharon, our operator, do we have any questions through you at the moment?
Operator: [Operator Instructions] And your first question comes from the line of Joren Van Aken from Degroof Petercam.
Joren Van Aken: Congrats on the strong start of the year. I guess my downgrade was clearly far too early. A question on capital allocation. Investor AB is on the low end of the LTV range. So, now in terms of sizing, would you also consider to do like a big add-on contrary to some of the more smaller buy-and-build acquisitions we saw in recent years? And then the second question in terms of activity. You mentioned that there are once again a couple of files in the pipeline for Patricia. Is that a result of a narrowing of the bid-ask spread? Or is that just a function of more assets coming to the market?
Jacob Lund: First of all, if I start with what I write about in my CEO letter that a number of our companies are actually now in acquisition processes. And the reason why we are bringing it up is that they are quite sizable add-on acquisition for these companies and that we actually hope to close a couple of them in the quarter. So, that is the reason. And, why are they coming now? I think I said that we had an attractive pipeline already in the previous quarter. And, of course, it takes time. We are working diligently with due diligence in these companies. We really want to use our strong financial position to invest, but we want to make sure that the companies we invest in are really top quality in the right segments. And, as it looks right now, it seems that a couple of them will come through in the second quarter. But, of course, as always, ink needs to be on the paper. When it comes to bigger acquisition and our leverage, in addition to this, we are, of course, looking into larger acquisitions, new platform acquisitions. And, clearly, our balance sheet would allow also this kind of investments.
Operator: And your next question comes from the line of Johan Sjoberg from Kepler Cheuvreux.
Johan Sjöberg: Congratulations on a great quarter. I would like to start off asking you, Bengt, if that's possible. I'm trying to get a feeling for what is the underlying growth or the underlying organic growth for Permobil over the last sort of 5 to 10 years? I come up with a figure around about 3% to 4%, but it's quite volatile between different years. Is that sort of how you also look at the market? And I would also just on the back of that follow-up question on that. Given these growth trends that you see also, do you expect the future demand to be in that region? Or could you actually see that hiking somewhat?
Bengt Thorsson: I think the way we look upon it now is the 13% CAGR that we have shown since Patricia acquired Permobil. I would say, it's more or less 50-50 organic growth and acquisition growth. It's always, as we all know, in many of buy and grow cases, it's a definition question. If some of the companies we acquired 5 years back are still in a growth mode or the acquisitions or are they organic. But the way we look upon it and the ambition we have also going forward is to see if we can match an organic underlying growth with acquisitions that would be probably in the range of 50-50 contributing, as Johan mentioned earlier, there's always a question to find the right quality. But I think that figure is more correct that it's basically 50-50 between organic and acquisition growth.
Johan Sjöberg: Just also your M&A. I think a super interesting presentation, Bengt, also I must say. Just looking at sort of the M&A targets that you have, when Johan is talking about this sizable acquisition or highlighting these larger acquisitions, did you see yourself being one of those candidates for that? And also, just looking at your past acquisitions, they've typically been in the size of SEK 100 million up to SEK 400 million in sales. How do you see a future M&A pace and also looking at the targets that you have on your table? Are they sort of still in that ballpark? Or do you actually see yourself ramping up the size a little bit here?
Bengt Thorsson: I think what we do is, we normally try to entertain and stay in contact with a quite long range of different companies just to be in dialogue with them. And then every now and then, we see an opportunity coming up. I don't see that we can really define when and if things come, they know that we are interested. We have a good relationship with them. And I think that is the momentum that we have done quite well is just to maintain that interaction with them. In that range, you would find different sizes of companies. There might be even very small innovation companies that could be very interested for us to scale. But historically, you are right that many of the companies we have is a regional player that we are able to scale up on a more global scale. But as I see in the companies where we have a dialogue, they are on all sizes. Then it's more of a question when and if that becomes an opportunity.
Johan Forssell: Maybe I can add to that, Johan. The comment that I have made in my CEO letter about the acquisition processes is not related to Permobil even though, of course, has been cessed. They also have an active pipeline, but that is not the reason for my comments.
Johan Sjöberg: Turning to you, Johan, also here. Looking at Laborie, I must say I was stunned by the strong growth driven by Optilume here. Is this sort of a turning point in for that? And I understand you don't want to give any projection, although maybe you're a little bit more open now since this is your last quarter here. But looking at the growth going forward here, do you sort of see this growth continuing? How should we view it? Because it's quite difficult from the outside, I must tell you.
Johan Forssell: Since it is my last quarter, I can ask, yes. It will continue to grow. I have to say that the start of this Optilume for urethral stricture has been really, really strong. And it's also a product with a very high gross margin. And we said when we acquired this product it had zero sales that is something new with superior clinical data that we actually see this could be something that could be really material for Laborie in a 5 to 10-year perspective. And adding to that, Optilume for BPH, which basically today has very, very limited sales, but where we are doing a lot in investment sales, marketing, clinical studies and also working to make sure we get the right reimbursement, etc. This is an even larger market. So, I will not give a projection, but I must say that personally, and I know the full team is, we are super excited about the opportunity with Optilume.
Johan Sjöberg: And also looking at Molnlycke, yes, of course, there's always a lot of focus on the Wound Care business. But I would like to hear a little bit more on the margins in the other divisions because, I mean, margins picked up quite nicely for the whole group. So, I would like just to hear sort of where did margins sort of picked up year-over-year? Because I would assume wound care is stable at 40 plus something like that.
Johan Forssell: Yes. If we start with Wound Care, the profitability remains good as you say. And antiseptics, even though it's a small area, but in antiseptics, even though we have seen a stabilization on the supply chain, there is still more upside when it comes to the margin. It's still on a too low level in the quarter. The biggest increase that we are seeing is within ORS. Here, we are seeing that the prices, the mix improvement is coming through. So, if we look on the profitability in the quarter of ORS, it is on a very good level compared to what the business area has been in historically.
Johan Sjöberg: And gloves, anything there?
Johan Forssell: Gloves I think the level we are at now in profitability is not the level it should be. But, of course, here, we are working #1 on making the manufacturing in Malaysia more efficient. And then, of course, that will improve the efficiency. But secondly, of course, we need to see the growth coming back also to get the margins we want to see. But we are adapting to the lower level at the moment. Some parts, as I mentioned, of course, is if you look on it, the U.S. marketing gloves is by far the biggest market. It's probably like 60% of the sales in the company. And that market, we had sales that was flat and still the sales was down 5%. And the reason for that is the supply chain issues in the Red Sea affecting deliveries to, for example, the Middle East and so forth. So, of course, that backlog should hopefully support going forward.
Johan Sjöberg: And also just coming back to your CEO letter also upon future M&A during the quarter here. I don't think I've heard you say that before in your CEO statements, but sort of what the magnitude are we talking about in terms of M&A or sort of transaction size here? Or should we sort of look at sort of where you've done a large acquisition in the past? Or could you give some sort of hint on what sort of sizes we're talking? Because you had previously talked about yourself maybe exploring the opportunity of increasing the ticket size, so to speak.
Johan Forssell: I will not go into details on that, Johan. And once again, of course, until the ink is on the tape, you never know. But it's a handful of companies, and they are of quite importance to the companies we are looking into.
Johan Sjöberg: Just finally, Johan, congratulations on your these year as the CEO. I mean, I know Christian is taller than you are, but you're definitely leaving a big size for him to fit. And it's going to be interesting to see how this develops. And just a final question on there. I mean just looking from the outside, everything looks very good from it. And we can see also what has happened with the company during your time and, of course, the team was, of course. But what are your main disappointment, if I may ask? What should you sort of feel that I should have done that or something like that? What have you missed so to speaking on?
Johan Forssell: Yes. There are probably a lot of things that has not gone as one would have hoped. But I'm not a person as you know, Johan, that go and think about that because when you do something that does not develop as you want, the important part is to identify it quickly and really take action and move forward. And that's the philosophy we have. But if I go back on your original question, I think that, yes, investor is in great shape. We stand strong but there is a lot of things on your question of what is not good enough. There is a lot of things within investor and our companies that can be improved that has not been improved during my time. And I feel really great about Christian now taking over the reins to really make sure that we grab that untapped potential that we see in our companies. There are a couple of areas where we have clear possibilities to improve efficiency. But more importantly, I see a lot of opportunities when it comes to capture growth opportunities in the companies, investments we talked about and so forth. So, there is a lot more to do that has not been during my time. And that is the way it should be. And I think Christian is the right person to take it forward together with the investor team and, of course, all the people in our companies.
Operator: And your next question comes from the line of Oskar Lindstrom from Danske Bank.
Oskar Lindström: I'd like to repeat that from the previous caller. Thank you, Johan, for the service in this past 9 years. I mean I looked at the total shareholder return, and it's a little bit over 4.5x, and it's almost double the Stockholm all share. So, that's a very strong performance. And you mentioned that investor is in great shape. And you talked a little bit about the sort of further opportunities in improving efficiency and growth, etc. but what would you consider to be the sort of largest structural challenge that you're leaving to Christian here in terms of either the balance between listed and unlisted or the sectors you are present in or the geographies that you're present in? I mean, are there sort of changes and challenges on that level ahead for investors?
Johan Forssell: I have to say, of course, that there might always be a couple of areas that we need to think through in the long term. But I have to say that over the last decade, I think we have worked extensively with really working also on our portfolio here at Investor. I normally talk about the companies but we have divested, I think, probably close to 100 financial investments. We have divested Aleris, Grand Hotel, and we have bought 6 new subsidiaries. And these are, as you know, companies with very strong market positions, normally #1 in their niches, and that's why they can make so good profitability and cash flow and also have secular growth. So, I think we have a portfolio that is really strong. But as I said, there are always room for improvement also on that front. On your question, what I think is the biggest challenge is, I think, to be honest, it's more related to not structural questions, but more. I mean we have a very difficult environment out there with the geopolitical situation. We need to make sure we have resilience in the companies. And, of course, none of us know how this will play out, but I think that will be an important issue to tackle. And the second thing I would say is, to really continue to make sure that all our companies are in the technological forefront going forward. And Bengt talked about some of the areas they are working on within Permobil, but really to make sure we stay ahead so we can grab market share, get better gross margins, and thereby create value.
Oskar Lindström: I have a follow-up question on that, both for you and for Bengt. You talked about sort of being at the forefront of technology and increasing competition. I mean, we're reading a lot about increasing challenges from Chinese producers following the pandemic here, both in terms of them ramping up exports, but also in terms of being at the forefront of a lot of technologies, we're seeing it in electric vehicles, for example. Are there areas of your businesses where you see these types of challenges being more pronounced than in others?
Bengt Thorsson: As for the moment, we don't see any big activity in China on the segment that we are addressing. They make a lot of wheelchairs, but mainly of more mobility character. And I think, as I mentioned before, the steps we take in technology and that we try to be pushing boundaries all the time makes it very different also when we pair it with services because then it gives another robustness in the market if you combine the product with services. So far, we haven't seen it, but I think it's a very important point to follow it up. The other thing that I think that supports us very much in this is when we combine product with clinical studies. It gives us almost a stronger protection, I would say, than a patent because then we can defend our statements and we can defend actually the outcome of that. So, I think we do understand it, and I think it's a very important point, and we keep an eye on it, absolutely. But I think this is how we work with that.
Johan Forssell: I would say on the more general question, of course, it is a very important question, a good question. And, of course, in the whole of our portfolio, of course, we have Chinese competition. In some areas, we are clearly beating them. And in some areas, they are tougher competitors. But overall, we really want to be #1, and we want to beat competition and that is the focus. One area that I think is important on your question is that many of the companies that we have are really strong locally even if you talk about China, local for local. We had ABB out this morning, for example, I think that's something like 85%-90% of what they sell in China is produced in China. And that, I think, is an advantage. You see the development close. You are in the market. You feel it and you adapt. The second comment I would like to make is that, of course, when we make new investments, we have the opportunity to invest in areas where we really see strong tailwind, but also in areas where we believe we have a resilient and competitive business model. So, normally, as you have seen within Patricia, we are investing in quite small niches. And normally in these niches, the competition is smaller than, for example, if you take batteries, solar panels, EV, as you mentioned, which, of course, are a huge global market. So, that is also a way to protect and it's normally less competition in these nice niches and especially to dominate that niche, it's very difficult for any player to beat you.
Operator: We will now take the question and it comes from the line of Linus Sigurdson from DNB Markets.
Linus Sigurdson: I wanted to start out to sort of understand a bit more about the dynamic of your EQT fund investments. I mean given that the market for exits seems to be picking up for them. I wanted to understand if there's anything at all you can say about when that is likely to translate to net positive cash flows to Investor?
Johan Forssell: I mean we have seen historically that from an investor point of view that our cash flow, of course, is lumpy depending on drawdowns and exits. And the best guidance and also if we look forward is to look at the history, we have seen about SEK 2.5 billion average cash flow net to investors. And if you look forward, of course, the more exits that will come, we will get a better cash flow and vice versa. What has happened though is that we have in connection with the IPO, we have a new structure, you can say. We have an optionality to invest up to 3% in the new found carefree. And what we have done since that basically, is that if you take the equity funds, the infrastructure and a couple of others that is close to us, we have invested 3% because carefree is a great deal for us. In addition to that, we're now a big owner in EQT. So, we also have an annual cash flow outside from the funds of about SEK 600 million per year in dividends from EQT AB. So, those are the comments I can make.
Linus Sigurdson: And then I just want to echo the previous speakers and congratulate you on a successful tenure you on. But could you perhaps share a few core learnings from your time as CEO and perhaps what you will carry with you in your future board work?
Johan Forssell: Thank you very much for those nice words. Key learnings, I think that we have been able to focus on the right areas. We are focused on climate change technology, not only us, but also in the companies. I have been fortunate to work with top-notch people here at Investor, which is extremely important, of course, and we have great people in our companies. I think a couple of more specific learnings is that, if I look on the performance of our companies to work with the structure of the companies, I think, have added a lot of value. I mean, you can take the split of Atlas Copco and Epiroc, you can take the decentralization of ABB. You can, for that matter, take the business areas that have been 4 dedicated business areas now in mainly healthcare as examples of that. So that, I think, has been super important to really make sure we develop. And the final one, perhaps for me is that, you need to try to be a little bit street smart and I think Helena here and the team did a great job during the 0 interest rate environment to really capture that opportunity. And you sit and say that can we borrow, I think one of the big Eurobonds we took up if it was EUR 500 million, EUR 600 million. We took at 0.47% interest rate, fixed rate 15 years. I mean, it's free money. So, to be a little bit street smart if you can, is, of course, not wrong. So, I think those will perhaps be my comments.
Operator: Thank you. I will now hand the call back to Jacob.
Jacob Lund: Thank you very much, Sharon, and thanks for all the questions that we had on the call. I don't think we have any web questions today. So, that means it's time to conclude. Many thanks to you, Bengt, for presenting Permobil here today. Many thanks to you, Helena, for your presentation. And, Johan, for your last appearance on our quarterly results calls. Maybe we can have a sports question and how does that feel?
Johan Forssell: No, it feels very good. And, of course, it's mixed feelings being the CEO of Investor is a dream job, to be honest. And you have always a lot of interesting opportunities and you have a lot of challenges to handle and you work with excellent people. So, it's mixed feelings, of course. But I want to take the opportunity to really thank all of you for your support. And I have always appreciated the discussions with you. It really gives me something to see what's important for you. It brings up questions that you go home and think about and so forth. So, also from me, a big thank you to all of you for your support during these years.
Jacob Lund: That's good. Thank you, all. The next scheduled call then is the Q2 and half year results on July 17, and that will also be the first results for Christian Cederholm. And until then, thank you, and goodbye.